Operator: Thank you for standing by, ladies and gentlemen, and welcome to EuroDry Limited Conference Call for the Fourth Quarter 2025 Financial Results. We have with us today Mr. Aristides Pittas, Chairman and Chief Executive Officer; and Mr. Anastasios Aslidis, Chief Financial Officer of the company. [Operator Instructions] I must advise you that this conference is being recorded today. Please be reminded that the company announced its results with a press release that has been publicly distributed. Before passing the floor to Mr. Pittas, I would like to remind everybody that in today's presentation and conference call, EuroDry will be making forward-looking statements. These statements are within the meaning of the federal securities laws. Matters discussed may be forward-looking statements, which are based on current management expectations that involve risks and uncertainties that may result in such expectations not being realized. I kindly draw your attention to Slide #2 on the webcast presentation, which has the full forward-looking statement, and the same statement was also included in the press release. Please take a moment to go through the whole statement and read it. I would now like to turn the floor over to Mr. Pittas. Please go ahead, sir.
Aristides Pittas: Good morning, ladies and gentlemen, and thank you all for joining us today for our scheduled conference call. Together with me is Tasos Aslidis, our Chief Financial Officer. The purpose of today's call is to discuss our financial results for the 3- and 12-month period ended December 31, 2025. Please turn to Slide 3 of the presentation. Our financial highlights are shown here. For the fourth quarter of 2025, we reported total net revenues of $17.4 million and net income attributable to controlling shareholders of $3.2 million or $1.14 earnings per diluted share. Adjusted net income attributable to controlling shareholders for the quarter was $2.4 million or $0.87 per diluted share. Adjusted EBITDA for the quarter was $7.5 million. Please refer to the press release for the reconciliation of adjusted net income and adjusted EBITDA. Tasos Aslidis will go over our financial highlights in more detail later on in the presentation. Since the initiation of our share repurchase plan of up to $10 million, which was originally announced in August 2022 and subsequently extended in 2023, 2024 and 2025, we have repurchased 334,000 shares of our common stock in the open market for a total of $5.3 million. The timing and pace of repurchases under the program is executed in a disciplined manner at management's discretion. Please turn to Slide 4 to view our recent developments, including sale and purchase, commercial and operational highlights. During the quarter, we sold motor vessel Eirini P, Panamax dry bulk vessel built in 2004 for $8.5 million. The vessel, one of the oldest and the longest held assets in our current fleet was delivered to new owners and unaffiliated third party on October 21, 2025, resulting in a gain just shy of $1 million. The transaction forms part of our ongoing fleet renewal strategy. From a chartering standpoint, our fixtures during the fourth quarter were predominantly short term. We concluded just 1-year time charter for motor vessel Christos K and Ultramax dry bulk vessel at a rate of $15,500 per day. representing a shift from our prior strategy of maintaining full market exposure by employing our vessels either on index-linked charters or on short-term contracts when market rates were lower. If rates continue to increase, we intend to also increase our longer-term cover by fixing more ships on longer charters. Currently, 4 of our vessels are employed on index-linked charters at 115% of the average Baltic Supramax 10 time charter average index through at least November 2026, maintaining full exposure to market movements. The remaining 7 vessels are employed on time charters with duration ranging from approximately 1 month to just over 3 months. The specifics of the charters fixed during the period are outlined in the accompanying slide. We continue to use FFAs occasionally as a hedging strategy. And in November 2025, we entered into a forward freight agreement whereby we sold 180 days of the Supramax 10TC-average for the first quarter of 2026 at an average of $12,012 per day, which was equivalent to approximately 2 vessels. Just yesterday, we completed the freight to sell 90 days of the Kamsarmax 5TC-average index for each of the second and third quarters of 2026 at average of $19,250 for the second quarter and $17,250 for the third quarter, equivalent to 1 vessel. Finally, we had no idle or commercial off-hire periods during the quarter. Please turn to Slide 5 for our current fleet profile. EuroDry's current fleet consists of 11 vessels with an average age of approximately 14 years and a total carrying capacity of about 765,000 deadweight tons. In addition, we have 2 Ultramax vessels under construction, each with a capacity of 63,500 deadweight tons, which are scheduled for delivery in the second and third quarters of 2027. Upon delivery, our fleet will expand to 13 vessels with a total carrying capacity of about 893,000 deadweight tons. Next, please turn to Slide 6 for a further update on our fleet employment. As of February 2026, our fixed rate coverage for the remainder of the year stands at approximately 22% based on existing time charter agreements. This figure excludes the 4 vessels employed under index-linked charters, which while subject to market fluctuations continue to provide secure employment. Turning to Slide 8, we will go over the market highlights for the fourth quarter ended on December 31, 2025, up until recently. Panamax spot rates declined sharply from approximately $14,600 per day in the fourth quarter of 2025 to about $9,650 per day by late December before recovering to roughly $13,500 per day. As of February 13, 1-year time charter rates have increased further above prevailing spot levels with Clarksons assessing the standard Panamax 1-year time charter rate at approximately $16,250 per day. During the third quarter, the Baltic Dry Index -- during the fourth quarter, the Baltic Dry Index and the Bulk Panamax Index recorded year-over-year increases of approximately 47% and 52%, respectively, reflecting a significant improvement compared to the same period last year, supported by stronger-than-expected demand for minor bulks, active grain trade flows and the tightening in vessel supply driven by longer voyage distances and regional trade disruptions. However, despite this rebound, freight markets remained volatile, reflecting the ongoing macroeconomic uncertainty and the uneven regional trade activity. Please now turn to Slide 9. According to the IMF's January 2026 World Economic Outlook update, the global economy is projected to maintain resilient expansion with GDP growth now forecast at 3.3% in 2026 and 3.2% in 2027, reflecting a slight upward revision to the outlook relative to last October's projections. Despite a relatively stable medium-term outlook, there are still meaningful downside risks. These include the possibility that expectations around technology-driven growth proved too optimistic as well as the risk of escalating geopolitical tensions. Ongoing trade frictions and broader geopolitical fragmentation continue to create uncertainty for the global economy. The recent events in Venezuela and the threatened military activity in the Middle East are reminders that external risks remain always present. That said, some trade pressures are expected to ease in 2026, which could help reduce the drag from tariffs on overall growth. In the United States, growth is projected to remain broadly steady with GDP growth expanding by approximately 2.4% in 2026 and 2% in 2027, although business and consumer sentiment appears subdued and inflation is expected to ease towards target only gradually. In January 2026, the Federal Reserve left interest rates unchanged, highlighting ongoing improvements in economic conditions while signaling a cautious approach towards future policy adjustments. Among emerging markets and developing economies, India is forecast to remain one of the fastest-growing major economies with GDP growth projected at approximately 6.4% in both 2026 and 2027, which is undermined by robust domestic demand and investment momentum. Recent trade agreements, including the newly agreed U.S.-India trade deal are expected to reduce trade-related uncertainty and together with easing financial conditions and stronger corporate balance sheets could help unlock a renewed private investment cycle. The ASEAN-5 region is also projected to maintain solid growth with expansion of 4.2% in 2026 and 4.4% in 2027, supported by strong domestic investment and technology exports. Meanwhile, China's growth trajectory is expected to moderate with GDP growth forecast at 4.5% in 2026, down from 5% in 2025 and easing further to 4% in 2027, reflecting the pressures from the weaker external demand, subdued manufacturing investment and ongoing challenges in the property sector. Turning to the dry bulk sector and how broader economic trends translate into vessel demand. Clarksons projects trade growth of 1.9% in 2026 and 1.4% in 2027. While this reflects a moderation compared to previous years, it still points to continued expansion in dry bulk trade volumes, albeit at a more measured and moderated pace. Please turn to Slide 10. Let's review the current state of the order book in the dry bulk sector. As of February 2026, the order book stands at approximately 12.4% of the existing fleet. Although higher than the 7.5% recorded in 2021, it remains among the lowest levels in history. For context, the order book accounted for 66% of the fleet in 2008 and approximately 24% in 2014. The current limited ordering activity reflects shipyard capacity constraints, high newbuilding costs and uncertainty surrounding future fuel technologies and environmental regulations. Turning to Slide 11. Let us now look at the supply fundamentals in a little more detail. As of February 2026, the total dry bulk fleet consists roughly of 14,600 vessels, representing around 1.1 billion deadweight tons. According to Clarksons latest estimates, new deliveries as a percentage of the existing fleet are projected at 4.2% for 2026, 3.9% for 2027 and 4.3% for 2028 and beyond. with actual fleet growth expected to be slightly lower due to slippage and demolition activity. Looking at the fleet age profile, roughly 11% of the global fleet is over 20 years old, representing vessels that could be considered for scrapping if market conditions moderate or environmental regulations become more stringent. Please turn to Slide 12, where we highlight our dry bulk market outlook in Q4 -- market outlook. In Q4 2025, dry bulk carrier market strengthened with average Supramax and Panamax time charter rates rising roughly 8% from Q3, reaching the highest levels in two years. Seasonal demand for dry bulk cargo supported this momentum, but the usual holiday slowdown didn't hit as hard as expected. New trade routes, most notably the growing bauxite trade from West Africa are shaping market dynamics, creating fresh opportunities and changing the traditional supply-demand pattern in the sector. The bauxite trade has seen a significant lift, growing from approximately 5% to over 15% of Capesize cargo volumes. Capesize vessels remain at the forefront of this activity, but smaller segments also saw meaningful improvements during Q4, highlighting the broad-based strength across the dry bulk market. Looking ahead to 2026, our outlook points to a picture broadly similar to 2025. However, markets remain unpredictable due to ongoing geopolitical disruptions, making forecasting particularly challenging with risks on both the upside and the downside. While dry bulk demand growth may continue to lag behind fleet expansion, factors such as off-hire period for special survey and slower operating speeds should help maintain overall market balance. Within the dry bulk segment, Capesize vessels are expected to outperform smaller classes, driven in large part by the expanding bauxite trade. At the same time, Guinea's Simandou iron ore project is set to significantly increase global supply once production ramps up. Backed in part by Chinese investment and aligned with Beijing's broader resource strategy often associated with the Belt and Road initiative, the project is designed to diversify China's iron ore sourcing. Over time, this could reduce China's dependence on imports from Australia and Brazil and potentially displace lower-grade domestic production. Meanwhile, Chinese purchases of U.S. soybeans remain an important factor following the October trade truce with agricultural flows continuing to influence supply and demand. Additionally, any normalization of Red Sea routing patterns could slightly reduce effective vessel demand if ships revert to traditional routes. But on the other hand, broader geopolitical developments may continue to redirect trade flows and thus reduce overall fleet efficiency. On the supply side, newbuilding activity remains relatively restrained. Shipyard capacity is largely constrained through the next several years and continued uncertainty around future fuel technologies amid rising orders of methanol and LNG fueled vessels. The overall order book to fleet ratio remains low by historical standards, which could provide a supportive backdrop for charter rate recovery if demand strengthens. That said, order book varies by segment. For Panamax and Ultramax vessels, order books are trending close to historical median levels, whereas the Capesize order book remains near historical lows. Although the industry is clearly shifting towards alternative fuels, the pace of transition is likely to be more gradual than initially anticipated due to technical and economic complexity as well as delays in finalizing the IMO net zero framework. Looking further ahead, 2027, visibility remains limited. Global growth and geopolitical developments will play a decisive role. While fleet growth is expected to remain moderate, currently projected rate expansion may not be sufficient to materially tighten the market. At this stage, we assume a broadly balanced market. Geopolitical and economic uncertainties could sway the market in either direction. Let's now turn to Slide 13. As of February 13, 2026, the 1-year time charter rate for 75,000 deadweight Panamax vessel stands at $16,250 per day, slightly higher week-over-week and comfortably above the historical median of $13,375 per day. In the asset market, 10-year old Panamax bulk carrier values remained firm despite the correction of approximately 8% from the mid-2024 peak. Current prices at around $27 million remain well above both the historical median of $16.7 million and the 10-year average of approximately $18.7 million, underscoring the continued resilience in secondhand valuations. This sustained strength also reflects structurally higher newbuilding prices driven by inflationary pressures, a limited shipyard availability and the cost of complying with environmental regulations. At the same time, healthy liquidity and cautious fleet growth expectations continue to underpin investor confidence in the sector. While today's prices represent a moderate pullback from the mid-2024 peak of roughly $29.5 million, they still remain very elevated by historical standards. Concluding my part of the presentation, I would like to highlight our profitable fourth quarter of 2025 and the continued strengthening of our liquidity position. Following the sale of the Eirini P, the refinancing of the Yannis Pittas loan and the funding of a substantial portion of the delivery installments of our motor vessel series, which is under construction, our balance sheet has become much more robust. This enhanced liquidity positions us to pursue additional investments should attractive and accretive opportunities arise, something we admittedly don't see in this high valuation environment. Looking ahead, however, we remain focused on disciplined capital allocation, operational efficiency and delivering profits for the benefit of all our shareholders. And with that, may I pass the floor over to Tasos for his part of the presentation.
Anastasios Aslidis: Thank you very much, Aristides. Good morning from me as well, ladies and gentlemen. As usual, over the next 4 slides, I will give you an overview of our financial highlights for the fourth quarter and full year of 2025 and compare them to the same periods of 2024. For that, let's turn to Slide 15. For the fourth quarter of 2025, we reported total net revenues of $17.4 million, representing a 19.9% increase over total net revenues of $14.5 million during the fourth quarter of 2024. This was the result of the higher time charter rates our vessels earned in the fourth quarter of last year compared to the same period of the year before, which was partly offset by the lower average number of vessels operated in the fourth quarter of 2025 as compared to the year before. Interest and other financing costs for the fourth quarter of 2025 decreased to $1.6 million as compared to $1.9 million for the previous year. Interest expense during the fourth quarter of 2025 was lower mainly due to the decreased interest rates of our loans, the SOF rate plus the margin on average as well as the decreased average debt that we carried during the period as compared against to the quarter of the year before. Adjusted EBITDA for the fourth quarter of 2025 was $7.55 million compared to $1.85 million achieved during the previous -- the fourth quarter of the previous year, an increase of more than 300%. We recorded a $0.7 million gain on the sale of our MV Eirini P during the fourth quarter of 2025 against no sales that we recorded during the fourth quarter of 2024. Basic and diluted earnings per share attributable to controlling shareholders for the fourth quarter of 2025 were $1.14 calculated on 2.8 million approximately basic and diluted weighted average number of shares outstanding compared to a loss per share of $2.28 calculated on 2.7 million basic and diluted weighted average number of shares outstanding for the fourth quarter of 2024. Excluding the effect on the net income attributable to controlling shareholders for the quarter of the unrealized gain on derivatives and the gain on the sale of the vessel, the adjusted earnings per share, again, attributable to controlling shareholders for the fourth quarter of 2025 would have been $0.88 and $0.87, respectively, basic and diluted compared to an adjusted loss of $1.33 per share for the year before -- for the quarter of the year before. Let's now look at the numbers for the full year 2025 and compare them to the full year of 2024. For the full year of 2025, the company reported total net revenues of $52.3 million, representing a 14.4% decrease over total net revenues of $61.1 million during the 12 months of 2024, a result both of the increase -- of the decreased number of vessels we operated and the lower -- slightly lower time charter equivalent rates earned by our vessels on average during the full year of 2025 as compared to the year before. Interest and other financing costs for the 12 months of 2025 amounted to $6.9 million compared to $8 million for 2024. Again, this decrease is mainly due to the lower interest rate allowance paid and partly offset by the higher average debt we get during the whole year of 2025, again, as compared to the previous year. Adjusted EBITDA for the 12 months of 2025 was $12.55 million compared to $9.4 million achieved during 2024, a 33% increase. For the full year, we recorded a $2.8 million gain on sales of vessels, both the Eirini P that we sold in Q4, but also Tasos that we sold earlier in the year. Again, we had no vessel sales to report for 2024. Basic and diluted loss per share attributable to controlling shareholders for the 12 months of 2025 was $1.55 compared to basic and diluted loss attributable to controlling shareholders for 2024, which was $4.62. Excluding the effect on the net income attributable to controlling shareholders for 2025 of the unrealized loss on derivatives and the net gain on sale of vessels, the adjusted loss per share would have been $2.5 basic and diluted compared to an adjusted loss per share of $4.10 for 2024. Let's now move to Slide 16 and look at more numbers there. As usual, in this slide, we report our utilization rates for the fourth quarter and full year for the 2 years we are comparing. Let's look first at the quarterly results, the fourth quarter of 2025. For that quarter, our commercial utilization rate was 100%, while our operational utilization rate 99.6% as compared again to 100% commercial and 99.4% operational for the year before. On average, 11.2 vessels were owned and operated by us during the fourth quarter of 2025, earning an average time charter equivalent rate of $16,260 per day, compared to 13 vessels that we operated during the same period of the previous year, which earned on average $12,201 per day. a significant improvement of the daily earnings. Our total operating expenses, including management fees, G&A expenses, but excluding drydocking costs were $7,869 per vessel per day during the fourth quarter of 2025 compared to $7,087 per vessel per day during the same period of 2024. If we move further down this table, we can see also -- at the bottom of the table, we can see the breakeven -- the cash flow breakeven rate, which takes into account in addition to the operating expenses I mentioned, drydocking expenses, interest expenses and loan repayments without balloons expressed in dollars per day basis. Thus in total, for the fourth quarter of 2025, our daily cash flow breakeven rate was $13,231 as compared to $11,259 for the fourth quarter of 2024, partly reflecting the higher drydocking expenses we incurred during that period. Let's move to the right part of the slide and look at the yearly results, again, starting with the utilization rate, which I'll go very quickly. All of the utilization rates we recorded were around 99% or -- between 100% and the time charter equivalent rates we earned were $11,642 on average for 2025 versus $13,039 on average for 2024. We see here that while the fourth quarter of 2025 was significantly higher than the fourth quarter of 2024, the whole year on average ended up producing lower time charter rates because the market at the beginning of the year was lower. Our total operating expense for the year, including management fees and G&A expenses, again, excluding dry docking costs, averaged $7,422 in 2025 compared to $6,967 in 2024. The cash flow breakeven for the full year ended up being $12,345 for 2025 compared to $13,221 for 2024, again, the reduction primarily due to lower drydocking expenses on average for the full year. Let's now move to the next slide, Slide 17, to review our debt profile. As of December 31, 2025, our outstanding debt stood at $103.7 million with an average margin of about 2%. Assuming a 3-month SOF rate of around 3.65% as of February 18, you can see that the cost of our senior debt on average was 5.65%. The chart in the upper part of this slide shows our debt amortization schedule with debt repayments of $12.2 million during 2026, $21 million in 2027 and $17 million in 2028, inclusive of balloon payments of $1.2 million, $10.2 million and $6.7 million, respectively. Please note that although we have arranged the debt financing for 2 Ultramax newbuildings, our current debt figure that I quoted you includes only the portion of 1 of the 2 loans that we used to finance part of the predelivery payments. Please also note that the 2027 and 2028 repayment figures I gave you include repayments of the 2 set loan facilities that we have started drawing to finance our Ultramax newbuildings, which are scheduled for delivery in the -- during the second and third quarters of 2027. Turning to the bottom of this slide, we can see our cash flow breakeven estimate for the next 12 months, broken down by its major components. Our EBITDA breakeven level is $7,478 per day and our overall breakeven level -- cash flow breakeven level for the next 12 months is expected to be around $11,663 per vessel per day. Let's move now to my last slide, Slide 18, to review some highlights from our balance sheet in our usual brief style. This slide offers a snapshot of our assets and liabilities and hopefully provides a concise picture of our financial position. As of December 31, 2025, cash and other assets in our balance sheet stood at approximately $31.8 million, while advances for newbuildings amounted to about $14.4 million and the remaining part on the asset side of our balance sheet is our vessels, which at their book value stood at about $166 million, resulting in a total book value of our assets of about $212 million. On our liability side, as I mentioned, bank debt is a big part of our liabilities, which stood at the end of last year at $103.7 million, while we had other short-term liabilities of $5.9 million, all in all, representing about 66% of our overall liability side. This results in a book value for our shareholders' equity of about $93 million, which translates in a net book value per share of $31.8. However, based on our internal and external valuations of our ships, the market value of our fleet exceeds its respective book value. We estimate it's worth about $214 million versus a book value of $166 million, meaning that the about -- the difference of about $48 million should be added to the value of our shares. If we do that, we will come up with a net asset value per share in excess of $48 per share. If we compare this to the recent trading range of ourselves, although it has increased in the last few days, of about $17, it becomes evident that there is significant potential upside for the owners of our stock. And we hope both our shareholders and prospective investors will appreciate that, hoping that narrowing of this discount will provide significant returns to their investment. And with that, I will pass the floor back to Aristides to continue the call.
Aristides Pittas: Thank you, Tasos. And let us now open up the floor for any questions we may have.
Operator: [Operator Instructions] Our first question is from Tate Sullivan with Maxim Group.
Tate Sullivan: I was just looking first at your noncontrolling interest and income to the joint venture partners. And if I recall, you started that arrangement with NRP partners a couple of years ago. Are you happy with how the JV has gone? Is that still a source of financing or transactions that you look at going forward in this current market there, please?
Aristides Pittas: Yes. I have to say we are very happy with the conversation that we are having with NRP and the investors that they have found who contributed in this project. Everything is going -- moving ahead smoothly. We are happy that the Norwegian market is starting to hear more and more about EuroDry. And we look forward to perhaps doing more such deals, yes.
Tate Sullivan: And if you can, is that mostly Norwegian -- is that a Norwegian-based entity? Or have you shared that?
Aristides Pittas: Yes. It's a Norwegian-based entity and the investors within this group are mainly Norwegian.
Tate Sullivan: And separately, in your presentation, you had a great data point on bauxite as a percent of Capesize cargoes. I was wondering if you do have sort of a similar cargo present, not bauxite for your fleet, but a cargo breakdown for your fleet with per ship carrying capacity of about 60,000 to 82,000 deadweight tons each. Is it more soybeans, as you noted, more demand? Or might you have a rough mix on...
Aristides Pittas: We can offline present you with the data of the various ships that we have and what they have carried, if I understood correctly during the year. We can discuss it.
Tate Sullivan: And your present -- just can you comment on coal demand? Has that decreased meaningfully compared to iron ore demand and soybeans? I didn't see coal mentioned in your presentation.
Aristides Pittas: Yes. Coal is a commodity that for the last 5 or 6 years, we are saying that it reached peak consumption, and it's never happened up to date. So actually, I think this year was pretty steady. Going forward, it is certain that coal will be a smaller percentage of the mix of energy. But as an absolute value, I think it will continue growing.
Operator: Our next question is from Hans Baldau with NOBLE Capital Markets.
Hans Baldau: Congrats on a good quarter to end the year. For the fixed rate coverage for 2026, that stands at 22% currently. And it was mentioned that you'd be open to fixing more long-term charters. And with the cash flow breakeven for the next year at $11,663 and the current rates sitting well above that, how are you thinking about expanding coverage? And do you have an idea in mind of what -- how many -- what percentage of the fleet you would fix to long-term charters this year?
Aristides Pittas: It's difficult to say because it depends a lot on how the market evolves. But right now, we're seeing a strengthening market day by day. We did take some cover yesterday as we fixed an FFA contract, as I said during the presentation, we fixed 90 days for Q2 at $19,250 and another 90 days of Q3 at $17,250, which is a hedge to the open vessels that we currently have. So we will fix more at these levels, but I can't say how much more.
Hans Baldau: Okay. And you mentioned that we're modeling 2026. It looks very similar to 2025. And right now, the rates to start 2026 are much stronger than they were to start 2025. Can you talk more about the similarities that you're seeing between 2025 and 2026? And are you expecting rates to return to 2025 levels? Or what do you -- why is it similar to 2025?
Aristides Pittas: Indeed, 2026 has started off very strongly and stronger than what we expected. So we might be surprised on the positive side during the year. But there are so many uncertainties about how trade will develop, what will happen in the geopolitical arena, will ships start going back through Suez or not? Will there be further embargoes, tariffs? So it is really a very difficult market to predict. What is easy to see is the supply of ships, and we expect the supply of ships to increase by about 4%, take away 1%, 1.5%, 2% for scrapping and delays. We see that the fleet will not increase considerably. But really to make a call about how strong demand will end up being is extremely difficult. So the average rate for 2026 could end up being similar to 2025. Of course, we hope that it will be even higher.
Anastasios Aslidis: I think the current rate -- the current FFA market indicates a higher level. But as Aristides said, you know, there are many uncertainties that...
Aristides Pittas: And if you took into account the FFA market just 2 weeks ago, it indicated exactly the same. So it's -- the market changes and the opinion on the market changes very quickly.
Hans Baldau: Okay. And lastly, could you add some more color on your fleet renewal and modernization strategy? Are there -- the Santa Cruz and the Starlight and Blessed Luck are all on the older side. Can we expect those to be offloaded during the year? Or how are you thinking about that?
Aristides Pittas: We haven't taken any decision yet. Indeed, we are down just to two 2004 built ships and one 2005 built ship. So 3 are relatively old. We may be -- if we are selling them, we might be buying more modern tonnage. This is a strategy that we discuss continuously, but there's no fixed decision yet.
Operator: Our next question is from Poe Fratt with Alliance Global Partners.
Charles Fratt: Aristides, Tasos, the macro has been pretty well covered. I had a micro question. Tasos, maybe I missed it, but can you just highlight whether there was a change to your reported numbers for the fourth quarter of 2024? And then can you talk about the claim that you settled, I think, in the fourth quarter of '25. And then can you talk about the cash impact of that insurance claim and then whether that's totally closed out or whether we might see some adjustments in 2026?
Anastasios Aslidis: Yes. We had to recognize that claim in our Q4 numbers after we issued the press release, but it was included in our 20-F information in our audited results. So that's why you might see a difference compared -- if you compare to the press release, but compared to the 20-F, that the recognition of that claim was included. And then that situation was resolved, and we recovered the $1.4 million that we record here as other operating income. I think that situation is now closed. We don't expect anything on either side, either positive or negative.
Operator: There are no further questions at this time. I would like to turn the conference back over to Mr. Pittas for closing remarks.
Aristides Pittas: Thank you all for listening today's presentation, and then we will be back in 3 months' time with hopefully another quarter of good results.
Anastasios Aslidis: Thanks, everybody.
Operator: Thank you. This will conclude today's conference. You may disconnect at this time, and thank you for your participation.